Operator: Good morning. And welcome to today’s conference call as Crestwood Equity Partners provides Second Quarter 2020 Financial and Operating Results. Before we begin the call, listeners are reminded that the company may make certain forward-looking statements as defined in the Securities and Exchange Act of 1934 that are based on assumptions and information currently available at the time of today’s call. Please refer to the company’s latest filings with the SEC for a list of risk factors that may cause actual results to differ. Additionally, certain non-GAAP financial measures such as EBITDA, adjusted EBITDA and distributable cash flow will be discussed. Reconciliations to the most comparable GAAP measures are included in the news release issued this morning. Joining us on today’s call with prepared remarks is Chairman, President and Chief Executive Officer, Bob Phillips; and Executive Vice President and Chief Financial Officer, Robert Halpin. Additional members of the secure -- senior management team will be available for a question-and-answer session with Crestwood’s current analysts following the prepared remarks. Today’s call is being recorded. [Operator Instructions] At this time, I will turn the call over to Bob Phillips.
Bob Phillips: Thank you, Operator, and good morning and thanks to all of you for joining us early today. I know it’s a busy schedule, so we are going to push pretty quickly through our materials and try to get time for some Q&A before a lot of you had dropped go to other calls. I want to start by hoping truly that all of you and your loved ones are healthy and safe from the pandemic. We are conducting this call remotely today and what I think will be our new normal in the midst of the COVID pandemic. And I particularly want to thank all of the Crestwood employees who have very professionally adapted to this new work environment. You might be interested to know that we are in varying stages of reopening our corporate offices in Houston and Kansas City, but still largely working remotely our workforce. And importantly, our essential field personnel continue to do a great job of operating our assets safely and efficiently. The health and safety of our employees, our contractors, our vendors, our business partners and our local communities is absolutely our number one priority during this time period. We remain vigilant, we’ve got new and significant safety protocols in place and we are continuing to provide the same level of great customer service that our customers and partners have come to expect in the past. Now, let me turn quickly to the second quarter. I’m very pleased that you would expect that our business outperformed the guidance that we laid out last earnings call. Robert can go into much more detail, but that guidance was based upon a 50% shut-in assumption, and obviously, we did much better than that. While the industry experienced extreme commodity price volatility as the market adjusted to lower hydrocarbon demand from the pandemic during the quarter. Once the economy started to reopen, we saw increased demand that drove higher commodity prices and producers have very quickly brought shut-in gas production back online much quicker than we expected. As a result, Crestwood generated second quarter adjusted EBITDA of $128 million and distributable cash flow of $74 million. That’s a leverage ratio of 4.2 times and a coverage ratio of 1.6 times, respectively. And despite the market challenges, our second quarter 2020 showed year-over-year improvement and we handily beat analysts’ consistent consensus estimates across the Board. Now these results were driven by contributions across the entire Crestwood portfolio. They included lower than expected shut-ins across our gathering and processing segment, as I mentioned earlier, and Robert, will give you more detail on. We had stronger than normal second quarter contributions from our MSL group, and that came from both our NGL teams and our crude oil and storage logistics teams. We had a timely contribution from the NGL storage assets that we acquired from Plains, closed on that deal in April. We quickly integrated it into the Crestwood NGL platform and those assets did quite well for us during the quarter. And we also had stable earnings from our storage and transportation segment. I really look forward to seeing what they do in the second half of the year. I might just add some color there, our Stagecoach Northeast natural gas volumes have been hitting record highs recently, as Northeast Pennsylvania dry gas economics have become much more favorable for our producers up there and Northeast power demand is very strong here in the summer. So looking forward to their contribution second half of the year. Overall, the quarterly results highlight, the diversity and the balance of our asset portfolio, particularly during these extreme market conditions. Now, the elephant in the room for the last few weeks has been Chesapeake bankruptcy and a potential DAPL shutdown. They’ve clearly pressured our units. Based on the information we know today, neither of that is expected to have a negative impact on our ability to meet our revised adjusted EBITDA guidance of $520 million to $570 million for full year 2020. Let me restate that, we do not expect either event to have a significant negative impact on our ability to meet our guidance for this year. Chesapeake is our primary customer in the Powder River Basin, but one of many customers that we have on our Stagecoach assets in the Northeast Marcellus. At this point, in the Chesapeake bankruptcy process, neither of those contracts has been submitted for rejection. Don’t have any indication that they will be on any reason to believe that. We believe both contracts are clearly market based and are competitive with similar contracts for similar services in the regions we operate. Chesapeake remains current on all invoices. We have cash flow protections in place with letters of credit and we continue to provide critical services to Chesapeake in both areas. We have a good relationship with the firm and are developing a good relationship through the bankruptcy process with what might be the new owners of the company. Now to the Bakken, given the uncertainty of the DAPL pipeline, our commercial and marketing teams have done a phenomenal job of engaging with our producer customers on the Arrow system to ensure that their volumes can clear the Basin in the event of a DAPL shutdown, either temporary or permanent. We’re going to use the COLT Hub [ph], we’re going to use third-party pipelines and we’re going to use trucking. Crestwood is uniquely positioned in the Bakken to be able to offer that kind of takeaway capacity. Arrow, as you may know, currently connects to DAPL, the Hiland system owned by Kinder and the Tesoro pipelines owned by MPLX. That provides significant downstream delivery capacity for our Arrow producers, far more than we are currently producing at. We’re working on additional downstream connections to market from Arrow and we’ve already started the process of contracting with Arrow producers for priority firm takeaway service at COLT to diversify their downstream options in the event of a long-term disruption at DAPL. So we’re making good progress there and believe that our barrels of the Arrow system will continue to flow notwithstanding what happens to DAPL in the courts over the next several weeks to months. As a quick reminder, for those that haven’t been following the stock very long, Crestwood’s COLT Hub and oil facility is the leading crude oil terminal in the Bakken. We have multiple pipeline connections there, both in and out, 1.2 million barrels of crude storage, which we used quite well in the second quarter and 160,000 barrels a day of rail loading capacity, be able to take gas -- take oil off the pipeline off the trucks, put it on the rail cars, headed out to our customers. COLT’s volumes have more than doubled in the past few months. Now, if you look at the average for the quarter, it doesn’t look that impressive, but from start to finish, they ramped up every month throughout the quarter and we’re moving significant barrels through COLT now in anticipation and for customers that might be anticipating a potential DAPL shutdown. We have no indication that’s going to happen. But in the event it does happen, we’ve got the takeaway capacity to be able to serve our East and West Coast refiners who are looking for optimal market barrels, and our producers who are looking for more takeaway options. In the event of a shutdown, we do think it’ll cause a $3 per barrel to $4 per barrel negative impact on basis differentials. That’s simply the incremental rail cost to market. But we’re confident in the ability of our Arrow producers to both flow volumes through COLT and at a current roughly $40 per barrel WTI price, which is the current forward curve, many of our customers are hedged well above that level. And we’re confident that with those net backs, even with a slight increase in basis differentials, our bucket -- our Bakken producer customers will continue to flow their production in that scenario in the third and fourth quarters of this year. Now, let me give you a little bit of color on our view of the second half of 2020 and 2021, starting with our gathering and processing segment. As oil prices have stabilized near $40 a barrel, and surprisingly, the fundamentals for natural gas that turned decidedly bullish, we expect a good second half 2020, with volumes continuing to grow and all shut-in volumes, we expect those returned by the fourth quarter. In the Bakken, particularly, 20% of the active rigs in the state are running on the Fort Berthold Indian Reservation, you might recall, that’s considered to be the best Bakken acreage left to be developed with the lowest breakeven cost. We are encouraged by the return of completion crews that are taking on DUCs on the Arrow system, we have quite a few. And we expect volumes to end the year approximately 20% above the second quarter average volumes and we’re moving in that direction today here in the third quarter. Now in 2021, that’s a different story and volume growth will clearly be a function of commodity prices and individual producers drilling and completion costs versus the net backs that they can receive and the market access that they’ve contracted for. I would put our GMP assets and producers in the Bakken in the Powder River Basin and in the Delaware Basin up against any other GMP assets in the business for breakeven cost, net backs, quality of acreage dedicated and connectivity to the market. We really feel pretty confident the second half of this year and going into next year depending upon where oil prices shake out. Now to our Marketing, Supply and Logistics business, had another great quarter, again congratulations to those guys that keep knocking it out of the park for us. With the recently required NGLS assets, we expect that team, that segment to contribute $35 million to $40 million in cash flow over the next 12 months, making that a very timely acquisition from Plains at a really good value at 4 times multiple. We now have other ownership and operatorship about 10 million barrels in NGL storage propane-butane, 1.2 million barrels of crude oil storage largely in the Bakken, but some in the Powder River Basin and that positions Crestwood to take advantage of market imbalances and dislocations across the various NGL product price curves and it also provides a very good hedge for our GMP business. I want you to think about that. Two final notes, financially, we expect to start generating free cash flow in the third quarter, which will continue to drive our leverage lower. We have not forgotten about our commitment to get our leverage below 4 times. We continue to work in that direction, while balancing all of our other issues and opportunities as well. Our capital spin in the second half of this year and next year will be minimal at current commodity prices, because we have excess gathering and processing capacity today, from our 2017 and 2019 expansion program in all regions. We don’t need to spend a lot of money. We do need to sit back, operate efficiently, cheaply and continue to watch volumes go back to where they were in ‘19 and headed higher. We have plenty of liquidity on our balance sheet. We have no near-term debt maturities. Our bonds are back to trading near par again. So we have the financial flexibility to navigate this crazy market and potentially take advantage of consolidation opportunities, if we see them, which we always do in a down market like this. Our distribution decisions will continue to be made quarter-to-quarter, as they always have, and we’ll base our decisions on our forward outlook, and the opportunities that we have to invest or acquire or simply to improve our capital structure or lower our cost of capital for the long-term. We are aware of what the opportunities are and we will continue to focus on that on a quarter-to-quarter basis. And finally, organizationally, I want to let you know that we have not wavered at Crestwood on our core values. They are safety, integrity, diversity, inclusion and we continue to advance our sustainability strategy. In June of this year we filed our Second Annual Sustainability report that was prepared in accordance with the GRI and SASB midstream framework. That was a big accomplishment for us in our second year. As a result, Crestwood’s Bloomberg ESG score increased over 65% based upon improved disclosures on waste, bio diversity, spills and air emissions. Crestwood continues to be a leader in this field, we’re committed to transparency and the Bloomberg score validates our efforts to provide investors and stakeholders with a deeper insight into our business risk and more color around our core values. And with that, I will remotely turn it over to Robert Halpin, our CFO to discuss the second quarter results and give you an update on our financial condition. Robert?
Robert Halpin: Thank you, Bob. During the second quarter, our assets outperformed the base case assumptions that we outlined in our revised guidance, which we issued back in May of this year, as we generated adjusted EBITDA of $128 million, up 5% year-over-year and distributable cash flow of $74 million, up 15% year-over-year. As market conditions improved throughout the second quarter, our producer customers were able to bring shut-in production back online quickly and efficiently, leading to GMP volumes meaningfully above our downside estimate of 50% shut-ins on our oil-weighted basis. Additionally, I recently acquired NGL storage assets and our crude oil storage assets proved extremely valuable in capturing contango opportunities during the quarter. Our financial and operational results for the quarter drove a leverage ratio of 4.2 times and the coverage ratio of approximately 1.6 times. Based on our second quarter results, we announced a flat distribution quarter-over-quarter of $62.05 per unit or $2.50 on an annualized basis, which is payable on August the 14th to all unitholders of record as of Friday, August the 7th. Now moving to our operating segments, in our gathering and processing segment, EBITDA totaled $87 million in the second quarter of 2020, roughly flat year-over-year. Today, approximately 10% of the Bakken remains shut-in, 40% of the Powder River Basin remained shut-in and the Delaware Basin is 100% flowing. We expect all of that shut-in volume to be back online fully by the fourth quarter of this year. As we look at the second half of the year, there are currently two rigs running on Arrow’s footprint on the Fort Berthold Indian Reservation and in the month of July, WPX Energy resumed completing its DUC inventory, which we expect will drive an incremental 30 to 43 product well connects in the second half of this year. Our storage and transportation segment totaled $14 million for the second quarter of 2020 on average volumes of 2.1 billion cubic feet per day. Stagecoach gas services, our joint venture with Consolidated Edison, has seen stable volumes over the quarter, as its strategic natural gas storage assets support strong mid-Atlantic and Northeast markets. In the Bakken, the COLT Hub saw decreased volumes quarter-over-quarter as a result of the decreased production in the basin. However, we expect volumes to increase meaningfully in the second half of the year as curtail production comes back online and as producers utilize crude by rail to diversify base and takeaway capacity with some of the remaining uncertainty around DAPL. Finally, in our Marketing, Supply and Logistics segment, EBITDA totaled $24 million in the second quarter of 2020 that compared to $16 million for the second quarter of 2019. During the quarter, our crude marketing team maximized storage capacity at Arrow and the COLT Hub take advantage of market volatility. Similarly, our NGL logistics team was able to optimize our NGL storage assets and take advantage of depressed NGL prices during the quarter to build inventories ahead of the winter season. Now turning to the balance sheet, as of June 30th, Crestwood had approximately $2.6 billion of long-term debt outstanding, including $1.8 billion of fixed rate senior notes and $801 million of outstanding borrowings on a revolving credit facility. At the end of the quarter, we had more than $400 million of liquidity on our revolving credit facility and our leverage ratio at the end of the quarter was 4.2 times and we have no debt maturities until 2023. We expect our leverage to peak in the third quarter as we build seasonal working capital for our NGL business, but to come down in the fourth quarter as our working capital position reverses and as we utilize our free cash flow to start working towards our longer term balance sheet objectives. During the second quarter, we invested $50 million in growth capital, focused on the final invoices of the Bucking Horse II processing plant, as well as continued enhancements to our produce water system in the Bakken. As Bob mentioned, now that our 2020 growth capital investment program is largely complete, Crestwood expect to begin generating free cash flow in the third and fourth quarters of 2020 and into 2021. Our priority will continue to be on strengthening our balance sheet and driving leverage closer to 4.0 times in the next 12 months to 18 months. We remain focused on liquidity and continuously evaluate opportunities to optimize our capital structure as opportunities arise. As we continue to work through the challenges the 2020 has presented, I want to reiterate Crestwood positioning during this down cycle. We have the advantage of a diversified asset portfolio, a strong balance sheet with no near-term debt maturities and a significantly reduced capital investment program. That enables us to reach our goal of generating positive free cash flow beginning in the third quarter of this year. We continue to see early signs of improving fundamentals across the industry and across our business specifically, which drives increasing confidence in our assets generating full year 2020 results at the higher end of our current guidance range and positions up to continue executing on our strategies to build further strength across the company heading into 2021. At this time, Operator, we are now ready to open the call up for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of Tristan Richardson with Truist Securities. Please proceed with your question.
Tristan Richardson: Good morning, guys. Really appreciate all the comments given today and what you’re seeing in each of the basins is, as well as what you’re seeing from your PRB customer. Just a quick one on the PRB customer there, is there a thought to either reaching out proactive or having an ongoing discussion about anything you guys can do to either incentivize a return to activity or provide certain relief around contracts in any way just to head off at the past, so to speak, and anticipate any sort of potential rejection even if you don’t see that necessarily on the horizon?
Robert Halpin: Yeah. Thanks for the question, Tristan. This is Robert. As we commented in our remarks around our relationship with Chesapeake, we continue to work very closely with them on the operating front and on the commercial front across both basins in which we service them. As we mentioned, we believe our contract is very well-positioned. Commercially, we think it’s in line with competitive contracts we have with other customers in the basin and continue to have a very strong working dialogue with them. Now, obviously, as they navigate their bankruptcy process and work with their creditors and their service providers, we do expect that they are having real time commercial discussions across their portfolio. They have not listed our Powder River Basin contract as a contract that they would consider for rejection. But we are always aligned with working closely with our customers to try to reach mutually beneficial solutions or win-win scenarios that further incentivize development. At this point in time, we don’t have any instances or resolutions around that, so we will obviously continue to work in that direction and feel very comfortable with where we’re positioned and with our ongoing relationship with Chesapeake.
Tristan Richardson: Thanks, Robert. Appreciate that. And then just a follow-up on the Bakken. Appreciate your visibility giving on sort of a second half and you mentioned 30 to 40 connects. Could you -- and as well as a substantial inventory, could you talk about the DUC inventory you see on your system today are behind Arrow?
Robert Halpin: Yeah. Absolutely. We estimate that there’s -- well, first of all, there’s two rigs currently running on the system today. And as of today, we expect that about 20% of the total DUC inventory in the basin is on our acreage dedication, that constitutes about 50 DUCs today and as those rigs continue to work through the balance of the year, we expect that balance to grow. As we mentioned, WPX, who is our largest customer has brought a completion crew back to the basin and we actually experienced our first multi -- multi-well pad IP here in midpoint in July. And we expect them to continue with that plans to connect another 30 to 40 wells through the balance of the year. And then as the inventory continues to grow that to be the low hanging fruit that they execute around in 2021.
Tristan Richardson: Great. Robert, thanks very much.
Operator: [Operator Instructions] Our next question comes from the line of Jeremy Tonet with JP Morgan. Please proceed with your question.
James Kirby: Hey. Good morning, guys. This is James on for Jeremy. May if I could just start with the MSL segment, do you see any opportunities that the business benefit from in 2Q carrying over to 3Q as you start August through July? And then just given the guidance of the segment provided last quarter, what can we expect kind of the cadence for 3Q and 4Q, just given the seasonality of business?
Robert Halpin: Yeah. I think, maybe I’ll start with that and then I might ask John Powell, who runs that business for us to give a little incremental color around just the general outlook for the business. But, obviously, we closed the Plains acquisition adding a significant asset base to our already broad asset based on the NGL side. On April the 1st we closed that transaction. And the market set up very favorably for us to capitalize on the deep contango that existed in the early part of this quarter. The team did a great job of taking advantage of that and as spreads move, we did capture a lot of that gain here in the second quarter that factored into a very strong performance. With where we’re positioned today, we still expect the second, sorry, the third quarter and fourth quarter to trend in line with our provided guidance. And we expect to have a little bit of outperformance on a full year 2020 basis based on where we’re positioned from an inventory perspective today. Around the Plains assets specifically, we originally guided back on our first quarter that we expected $18 million to $20 million of contribution from those assets this year. I think we now probably expect that number to be closer to $22 million to $25 million for the year based on where we performed thus far. And on a full next 12 month basis, we guided we expected that to be in kind of the $35 million to $40 million range and I think we would expect that to be pushing the high end or even ahead of the high end now heading through the first quarter of 2021. Maybe, John, from just a little bit of market commentary, you want to provide full oversight on what you’re seeing in the market?
John Powell: Sure. Thanks, Robert. Specifically to your question, I think a lot of the gains that we experienced the overage in the second quarter was largely related to a lot of the contango that was presented towards the late end of March and early April, all the way through the balance of the second quarter. And as we look forward, really towards the third quarter and the fourth quarter, I would say, they’re more traditionally in line to what we’ve seen on typical contango spreads for the business. So not -- I wouldn’t anticipate much carryover in terms of that repeating again in the third quarter, but I would comment is that, what we are seeing particularly from the downstream side is very steady and increasing demands for these services that these new assets provide, as well as our legacy positions. And so, like, Robert mentioned, I think, we’re very well-positioned to be able to continue to capture at budget what we anticipate, as well as some additional upside from there, due to the nature of the business and the optionality around these assets and what we can capture here in the balance of the year.
James Kirby: Got it? Thanks for the color. And then just maybe pivoting just to Arrow here, I’m not sure if you guys have mentioned in the past or if you think about this way, but just looking at 2021. How many well connects would you ballpark that you need to keep kind of Arrow volumes flat if there is kind of maintenance mode in the basin?
Robert Halpin: Yeah. I think that -- we think that producers will have an ability on a year-over-year basis to hold production relatively flat with the DUC inventory and the completions that we expect from WPX and a handful of the other operators into 2021. As we mentioned, with where we closed out the second quarter we expect about a 20% increase in our current outlook for the remainder of the year as we exit 2020. We’re actually already at those volumetric levels today and as the completions continue, I think, we’ll see that volume continue to trickle up. So feeling good about where we’re positioned now. I think, with what we see on the DUC inventory and the activity levels from WPX being the most active and as a few other operators come back, hopefully, with a little bit of rebounding commodity price, I think, we think we’re pretty well-positioned kind of with that DUC inventory to hold the production for ‘21.
James Kirby: Got it. Thanks for the questions.
Operator: Our next question comes from the line of Shneur Gershuni with UBS. Please proceed with your question.
Shneur Gershuni: Hi. Good morning, everyone. Glad to see everyone is well. Maybe to start off, the cost reductions that you’ve put in place at Crestwood, can you characterize how much of it is sustainable over the long run versus some of it is more temporary and as things come back, so will some of those costs? Just wondering if you can characterize that for me, please?
Robert Halpin: Yeah. Absolutely, Shneur. And I’ll start and then I may hand a little bit to Steven Dougherty, who’s been kind of the leader on our team in terms of our cost reduction initiatives and then maybe Bob’s can provide some incremental color as well. But as we looked at kind of the downturn and made pretty aggressive and swift action around our team and our assets to ensure that we were operating as efficiently as possible. We really looked not only at kind of our 2020 outlook, but really the longer term on where we thought the industry might be headed. And I would say that as we looked at our workforce, as we looked at our asset base, our attention was really focused around capital needs, asset needs and how we can optimize our team drive towards an environment in which we would be constructing less, spending less, and therefore, do it more efficiently. So I would characterize it as in the current environment and with our expected outlook, we do believe it’s fully sustainable, heading into ‘21 and beyond, as we don’t see a -- the industry turning back towards a growth mode around organic capital spin and expansion. We do think we’ve got a good amount of operating leverage across our footprint and the existing team is well-positioned to capitalize on that efficiently without the need for any incremental costs to the structure. Diaco, any color you’d add around that.
Diaco Aviki: Yeah. I agree with Robert. When you look at the $40 million of annual cost reductions that we are targeting, we’re already ahead of schedule associated with achieving that $40 million of run rate reductions. Over half of that is personnel costs and with the reduction in force that we did here during the second quarter, we believe that that’s very sustainable, a very little of that is variable cost in nature. So as a result, even as volumes increase, we do not expect a lot of those costs to creep back in as our volumes increase.
Shneur Gershuni: All right. Perfect. Thank you for the collar on that. Maybe as a pivot here, you recently declared your distribution, just wondering if you can talk about the boardroom discussion with respect to the decisions around it. And then if the change of control provisions with your general partner as to how it impacts your debt potentially becoming current, whether that sort of plays into the discussion as well too?
Robert Halpin: Yeah. Shneur, I’ll give a little bit of color. I mean, I think, our Board every quarter and really at -- from one quarter to the next on an interim basis, we have a tremendous amount of dialogue around our cash flow generation, our cash flow outlook and how we utilize that cash to best position the partnership. There’s a lot of factors that go into that, in terms of business outlook and what we think the business can sustain, what our long-term objectives are from a balance sheet perspective and other structural considerations, as you alluded to. And I think that with where we performed in the second quarter, we expected and guided conservatively to a worse outcome from a volumetric standpoint. Obviously, we were pleased that our producers were able to bring production back quicker than we anticipated and we have a really good outlook for the remainder of this year and heading into 2021. And with where our metrics have shaved down on that basis, we felt that kind of continuing down the path that we are in the absence of other far more compelling investment opportunities was the right course. As we’ve communicated, that decision is made every single quarter. We continue to evaluate all of the factors in the industry, risks around our assets and opportunities around our assets, and we’ll continue to evaluate that and all the consideration for that at the third quarter and every quarter thereafter.
Shneur Gershuni: All right. Perfect. Really appreciate the color today guys and have a safe day.
Operator: We have no further questions at this time. Mr. Halpin, I would now like to turn the floor back over to you for closing comments.
Robert Halpin: Yeah. Thanks a lot everybody for joining us today. Hope everybody stays -- stay safe and we look forward to catching up with you in November with our third quarter.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.